Company Representatives: Bart Bandy - Chief Executive Officer Tom Stankovich - Chief Financial Officer Michael Miller - Rx Communications, Investor Relations
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the ReShape Lifesciences Fourth Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to turn the conference over to your speaker for today, Michael Miller, Rx Communications. You may begin. 
Michael Miller: Good afternoon, and thank you for joining the year-end 2021 ReShape Lifesciences earnings conference call. I'm pleased to be joined by Bart Bandy, Chief Executive Officer of ReShape Lifesciences Inc., who will provide an overview of the company's activity during 2021 and milestones to-date. Tom Stankovich, Chief Financial Officer of ReShape, will then review the financial results for the year, after which we will open up the call to a question-and-answer session.  As a reminder, this conference call as well as ReShape Lifesciences' SEC filings and website, including the Investor Information section of the website, contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those discussed due to known and unknown risks, uncertainties and other factors.  These and additional risks and uncertainties are described more fully in the company's filings with the Securities and Exchange Commission, including those factors identified as risk factors in the company’s most recent Annual Report on Form 10-K. As an additional reminder, ReShape stock is listed on the NASDAQ trading under the symbol RSLS.  I will now turn the call over to our Bart Bandy, President and CEO of ReShape Lifesciences. Bart. 
Barton Bandy: Thanks Michael. Good afternoon everyone, and thank you for joining us today. 2021 was a year for the significant accomplishments to ReShape beginning with our merger with Obalon, our listing on NASDAQ and our subsequent $46 million financing, all of which positions us to capitalize on the existing FDA approval and broad insurance reimbursement of the Lap-Band and to re-induce this proven product and other weight loss initiative directly to the consumer or patient market.  With that in mind, in October we launched a multi-platform, direct-to-consumer advertising campaign utilizing national television, print, social media and public relations to market our Lap-Band program, with available after care supported through the ReShape Care, our reimbursable virtual health coaching platform that can also support weight loss objectives for people who are not surgery candidates. The goal was to create consumer awareness and increase patient demand for Lap-Band and as we recently reported, the early metrics have been extremely promising, recognizing that the four to six month mandatory waiting period for insurers represent the lag between early engagement and procedures. In 2021 we nevertheless witnessed a robust 20% increase in revenues year-over-year to $13.6 million. Before I go into more detail on our progress, I would like to once again recap the incredible market opportunity before us. Studies shows 73% of American adult are overweight or obese, with about 50% of that population seeking to lose weight every year. A Harris Poll research study conducted in late February of 2021 reported that 61% of American adults experience undesired weight changes during the pandemic, with 42% claiming they gained more weight than they intended, an average of 29 pounds, with 10% reporting they gained more than 50 pounds; and remember, this was one year ago.  The epidemic of obesity is something we need to address globally. With 30% of the world now qualifying as overweight or obese, a number which is projected to grow to 50% by 2030, making the bariatric market a multi-billion opportunity in the U.S. alone. ReShape is poised to take a lead position of addressing this significant and expensive health issue, with a suite of physician led weight loss solutions including our flagship product, the Lap-Band, which has specific FDA approved weight loss indications.  Clinical recognition is the safest surgical procedure and coverage by most major insurance plans, including Medicare. To implement this strategic brand awareness, and intended market engagement campaign for ReShape, the Lap-Band and ReShape Care in the fourth quarter 2021, we launched our national and demographic targeted, direct-to-consumer marketing campaign across the highest viewed television channels and print publications, with the goal of effectively communicating the benefits and differentiated bandages of the Lap-Band; the only widely reimbursed, FDA approved, laparoscopic weight loss device commercially available in the U.S.  The Lap-Band is unrivaled being an adjustable, reversible and well proven, with over 1 million bands having been placed in the patient's globally in the last 20-plus years, demonstrating superior safety and efficacy profiles compared to highly aggressive stomach stapling procedures and diets.  Adjustability, reversibility and having personal control as opposed to something being done to you, have also been shown to have highly desirable aspects for potential patients when making bariatric surgery decisions. Additionally the reduced risk of adverse event and nutritional deficiencies, associated with anatomy altering procedures have also been identified as being of great significance in this decision making process. The fact that most patients return home the same day as the Lap-Band procedure, which is available in outpatient surgery centers, is also a key determining factor, especially given how COVID has affected patients and doctors at the hospital level.  Based on our recent commercial consumer testing, and the known historical impact of patient direct marketing program for the Lap-Band, we were very optimistic about the potential of a national marketing campaign for our physician led ecosystem, for weight loss solutions. Since the beginning of the marketing campaign, Lap-Band has been featured in 10 major magazine publications and over 20 national cable stations that are all focused on our target audience. Going forward, we will continuously improve on these marketing efforts through diligent metric analysis and adaptation, while also pursuing co-op marketing partnerships, local digital media, and a national social media influencer campaign.  As we recently announced in our press release last week, early analysis results from the marketing campaign have been outstanding. Since October, we’ve experience 250,000 more patient visits to the lapband.com website, resulting in 480% more patient requests for information on the Lap-Band procedure compared to the immediate month used to establish a baseline prior to launching his campaign.  More importantly, doctor referrals for consultations have surged over 400% in that same period. This significant increase the potential patients in bariatric surgery engagement indicates that our message is clearly resonating with the consumer and professional markets. We have witnessed a 25% increase in requests from bariatric practices for refresher training and certification on the Lap-Band procedure, and from what we believe to be a very positive umbrella effect with our campaign, traffic to our surgeon locator is up a noteworthy 1,300% compared to the same DTC pre-launch baseline period.  In January of this year we had the opportunity to present the Lap-Band program and expand awareness to a range of key Bariatric Surgery providers at the American Society for Metabolic and Bariatric Surgeries, ASMBS Leadership Academy and their re-UNITED Meeting, where we received overwhelmingly positive feedback on the need for training and inclusivity of the procedure for Bariatric practices.  Moreover, anecdotal feedback from surgeons on the positive impact, the new patient flow from the DTC campaign has been remarkable, and as a result we expect to experience heightened physician engagement leading to increased Lap-Band procedures and thus potentially a significant increase in revenues for Reshape over time.  This is a key component of this business model that I must call out again. The average mandatory wait period for insurers of Bariatric Surgery is four to six months. We had an early launch in Q4 of 2021 adding television networks and magazine throughout that quarter after gaining medical review committee approvals, and followed that with a major investment into the campaign in the first quarter of 2022. As we are now seeing procedures directly track to the campaign, we remain positive that the back half of this year will demonstrate the true potential of this strategy and execution.  While raising the visibility of the Lap-Band program, we've also continue to build our proprietary ecosystem of unique weight loss solution that provide more revenue producing pathways, keeping patients in our sales channels longer. Notably, our reimbursed reshapecare™ Virtual Health Coaching Platform is a key element of our medically managed and bariatric surgery patient outreach strategy, facilitating more engagement, longer term retention and optimized health improvement.  Our entry into the virtual healthcare delivery space allows us to tap into a market that is expected to reach $95 billion by 2026. ReShape Care and its extension, ReShape Marketplace, provide an e-commerce platform to access a collection of healthcare provider recommended, competitively priced weight loss and wellness products that support the vital areas of nutrition, exercise, sleep and stress. This e-commerce based offering includes ReShape’s new advanced line of premium supplements to optimize health and well-being, specifically for bariatric surgery and medical weight loss patients.  On the operations front, by moving our manufacturing from Costa Rica to a new United States based supplier which we announced last summer, we have begun to realize significant efficiencies and cost of good savings. In order to support our accelerating patient flow from our DTC marketing campaign and strategic initiatives, we have significantly bolstered our sales operations and commercial groups with the additions of Michael Bordainick as Senior Vice President of Commercial Operations and Al Diaz as Vice President of Operations and Research, along with others including a number of key sales personnel.  Now, I'd like to take a moment to review our pipeline. Once we receive necessary approvals for European based study sites and communicate our go-forward plans with regulators, we will resume our EU based clinical trials for the ReShape Vest, a laparoscopic implantable technology designed to support and enhance the weight loss journey for a patient with stomach reduction surgery, which has the potential to replace or complement current volume reducing bariatric procedures. We remain in contact with clinicians, and clinical sites regarding the trial, where access to facilities and patients was precluded by the COVID 19 pandemic.  Gain through our merger with Obalon as we mentioned last quarter, we continue to explore the compliance and regulatory requirements, manufacturing viability and quality system control necessary for reintroducing the Obalon Balloon System. The technology is the first and only swallowable, gas filled, FDA approved balloon system introduced into the U.S. weight loss market place as a nonsurgical, minimally invasive products.  With the assistance of a grant from the NIH, we completed and met the necessary end points in order to complete the pre-clinical development of the ReShape Diabetes Bloc-Stim Neuromodulation technology, a novel investigational device using neuromodulation to adjust insulin production and potentially treated Type 2 diabetes. We have submitted for a second grant, for which we recently responded to request for additional information from the NIH committee over the recent holiday break. We remain committed to evaluating the potential of this platform, which is backed by a strong intellectual propertyportfolio through an agency and strategic investor based, non-dilutive funding strategy.  Additionally, we will continue to pursue M&A opportunities that will align with our commitment to the physician led weight loss and metabolic solutions market, enhance our current product portfolio and can be accretive to our value. We are pleased with our recent efforts and achievements, highlighted by our national DTC marketing campaign and to recognize results to-date. We will continue to maintain focus on marketing the proven advantages of the Lab-Band program, in line with their positive metrics and resulting procedures, and we'll continue the evaluation, development and prioritization of our portfolio and external opportunities that can bring additional value creating weight loss solutions to our company. I look forward to providing further update on our progress in the quarters to come.  I will now turn the presentation over to Tom for a review of our financial performance. Tom.
Tom Stankovich: Thanks Bart, and once again thank you all for joining our webcast this afternoon. Before turning to our detailed metrics, I'd like to provide some color on our non-cash stock compensation expenses, impairment charges and costs related to the merger with Obalon that drove substantial increases in our non-cash operating expenses for the following areas; sales and marketing, general administrative and R&D.  As a company, we placed employees at the heart of our business. Understanding that, stock based compensation is a proven and effective tool to retain existing staff, attract seasoned professionals and enhance incentive programs. Subsequent to the merger with Obalon listing on NASDAQ and our fundraising, we issued for the first time since 2017 restricted stock units and stock option throughout the organization. Considering the height of this expense during the quarter, we believe it is appropriate to call out these metrics.  For the year ended December 31, 2021 we recorded $12.8 million in total stock compensation expense. Of note, a majority of this expense includes a one-time charge for a look back provision for vesting to begin at the one year anniversary date of employment. We also recorded a loss on impairment of intangible assets and goodwill of $28.8 million. This is primarily due to significant drop in our market capitalization at December 31, 2021, coupled with the delay in the clinical trials for the ReShape Vest due to the COVID 19 pandemic.  It is important to note that both the stock compensation expense and loss on impairment are non-cash expenses. Between the relatively high normal non-cash stock based compensation expense, loss on impairment and the 6 million acquisition related outlay of funds, and given these expenses are specific in nature and uniquely attributed to events this past year, the company expects this expenditure to revert to the customary levels moving forward, considering the effect of these charges are non-recurring.  With that in mind, let's turn to our revenue and operational results. For the year ended December 31, 2021 we reported $13.6 million of revenues compared to $11.3 million of revenues for the year ended December 31, 2020, an increase of $2.3 million or 20%, which is attributable chiefly to a $2 million increase in the U.S. and a $300,000 increase internationally.  We reported gross profit of $8.4 million for the year ended December 31, 2021 compared to $6.3 million for the year ended December 31, 2020, an increase of $2.1 million or 33%. Gross profit as a percentage of revenue for the year ended December 31, 2021 was 61.4% compared to 55.4% for the same period in 2020.  It is important to note as Bart stated earlier, that we have also begun to realize significant cost of goods savings by moving our manufacturing from Costa Rica to a new supplier in the U.S. Additionally the increase in gross profit margin is also due to increased revenue, reduced period expenses and improved product mix, with higher domestic sales as a percent of revenue, which have a higher gross profit margin than international sales.  Total operating expenses for the year ended December 31, 2021 increased by $46.1 million to $64.8 million as compared to $18.7 million for the year ended December 31, 2020. The increase is primarily due to the previously mentioned one-time charges for our merger, non-cash stock compensation and a loss on impairment of intangible assets and goodwill. Additionally, sales and marketing expenses increased due to the launch of our multi-platform consumer advertising campaign utilizing national television, print, social media and public relations during the fourth quarter of 2021.  Sales and marketing expenses for the year were $9.2 million as compared to $4.7 million for 2020. Aside from other previously mentioned factors our increased expenditures stems from additional marketing advertising efforts and an increase in related expenses from expanded commercial organization. The company expects to continue devoting more resources towards sales and marketing, particularly through our national direct to consumer campaign resulting in an increase in sales and marketing expenses for 2022.  General and administrative expenses were $24.4 million for the full year of 2021, compared to $10.5 million for the year ended December 31, 2020, an increase of $13.9 million. In addition to stock based compensation expense, this amount also reflects an increase in legal, insurance, professional services, payroll related expenses and an increase in rent and facility expenses associated with the Obalon merger.  Research and development expenses were $2.5 million for the full year ended 2021, compared to $3.5 million for the year ended December 31, 2020. The decrease is primarily related to a slowdown of clinical trials related to the ReShape Vest due to the COVID 19 pandemic.  On a non-GAAP adjusted EBITDA basis, including the addition of non-cash stock based compensation, depreciation, amortization and impairment amongst other things, the loss was $10.6 million for the full year of 2021 compared to a loss of $9.1 million for the year ended December 31, 2020. The increase is primarily related to strengthening of our organizational and commercial operations.  Now turning to the balance sheet, as of December 31, 2021 the company's cash and cash equivalents totaled approximately $23 million. Of note, we eliminated all debt from the balance sheet, including $10.5 million term debt with an institutional investor and our final $3 million obligation to Apollo Endosurgery for the purchase of the Lap-Band in December of 2018.  Additionally, $6 million in professional service and investment banking fees were paid related to the Obalon merger. As mentioned in previous quarters, we continue to save and optimize costs while we strive to increase revenue and pursue significant ROI growth opportunities. As COVID 19 restrictions continue to be lifted and elective procedures continue to arise, our efforts around product visibility and demand for our products, we look forward to reporting even better results in the coming quarters.  With that, I will turn the call back over to Bart to begin the question-and-answer period. 
Bart Bandy : Thanks Tom. Operator, please open the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Anthony Vendetti with Maxim Group. Your line is open. 
Anthony Vendetti: Thank you. Good afternoon! 
Bart Bandy: Hi Anthony! 
Anthony Vendetti: Hey Bart, Tom! How are you doing? So the DTC marketing campaign showed significant growth in terms of the number – I guess in terms of percentage for leads generated. I was wondering if you could tell us the number of leads generated or number of consultations you know as best you can tell directly related to the DTC marketing campaign? 
Bart Bandy: Thanks. Yeah, that’s something we work out you know to do with the metrics funnel so to speak, it looks like. You know I think it’s really important to point out that the mandatory wait periods for most insurers is four to six months. So if somebody wants to go in and get a bariatric procedure today, Lap-Band, Bypass, whatever, it's going to take four to six months for them to get through that process; behavior analysis, physicals. Some people require that they go through medically managed weight loss to make sure they can do that just one more time.  But you know as we get through it, the main thing is that we're seeing that – I mean we already launched in October. In November we launched harder because we got affiliate approvals from broadcast networks like ABC and then December was a little light because of the holidays we pulled back. But then in January, February and March we started to advertise quite a bit. So if you kind of look at that four to six months window, we're just starting to see those people get through the consultation and procedural volume list.  But you know as we mentioned, we’ve had 250,000 people coming to our website that weren’t there with our baseline. We had a 480% increase in request for information on Lap-Band, a 400% increase in warm transfers to consultations, and we have a pretty good conversion ratio there. So I can tell you, that one’s starting to come. But a lot of the practices are just not getting their feedbacks out of them. Some practices haven't done any procedures since Christmas, is coming back in February and March, so just getting their stats back, they are just getting consultations scheduled, they are just getting everything lined up.  So right now we know that those are starting to come through, we’re seeing them. But what we can't track all the way to that point is the warm transfer and you know we work with the accounts, we have our field personnel working with the accounts and make sure we know how to process those warm transfers; higher return to consultation [inaudible] procedures.  So we'll start to talk about those numbers in a couple of more months. As they start to come in, we start to get more regular or normalized data points on that. But just looking at the way that everything kind of sits through the system, we're very confident that the numbers we’re seeing in the upper level, that’s the website traffic, the leads and the warm transfers, everything else will follow through, and over the next few months we’ll be able to report what those direct correlations are, because we have business like – business associate agreements with all of our accounts, which means that we’re within HIPPA compliant and able to track that information all the way down to actual procedures. So again, that will be more normalized data going forward and I think the next couple of months we'll put something up. 
Anthony Vendetti: So Bart, just following up on that. So did you say that that maybe this is partly due to Omicron, but were some of these procedures which were obviously elective, were they put-off’s in January and February to some extent because Omicron or even you know patients that maybe were interested, even though it takes four to six months, just the normal flow of patients; was that just stalled because of Omicron?
Bart Bandy: It was definitely impacted. I mean we actually saw it all the way back to December you know went Omicron started to hit, and you know hospitals and everybody have kind of gone through the process now, so they are a lot faster to start closing and reallocating staff and doing that. You know they've learned over the last couple of years what to do, so yeah, we saw that.  You know staff was reallocated in different departments in hospitals. Some practices, there was practice class about COVID, so yeah, a lot of this was put off, but you know that's why we’re starting to push the numbers so hard so that we can try to make up for that and try and get more people into the outpatient surgery centers and just trying to get the doctors lines set up.  The one thing we did check is that with the practices, they are building their procedural load so – and when they do get at this, they are not losing those patients, which is key for us also because that’s what tells us to keep the process. While we know the continuity builds the traction, it’s going to get us more procedures down the road, direct to consumer marketing. So we don't want to have any breaks in it, but we also have to make sure it’s the wise thing to do, and we're confident of that because we're actually engaging with all of our accounts and making sure that they are not losing patients.  Those patients aren't going anywhere. They are not doing anything else. You know you may have a small percentage fall off, but we're going to capture them over the coming quarters. 
Anthony Vendetti: Okay, that's great. And then, as you've been getting the word out there among not just potential patients, but physicians, how many physicians had that may be used to do the Lap-Band procedure but stopped, you know as there wasn't a lot of marketing and training behind it. How many of them have signed back up, and do you have that number or also the number of potentially new physicians, bariatric surgeons that have said, you know we want to be – we want to be a part of this process?
A - Bart Bandy: Yeah, that's great. So you know as we said in the past, we're going a different model; we're not putting 10,000 reps out chasing 100,000 doctors. That’s expensive. It doesn't work anymore. You can't get access to them. They don't have the controls they used to at the hospital level, so driving the patient flow is what we can do, and we only needed about 150 accounts across the U.S. to really be effective and to you know see returns that makes sense on this consumer investment.  And so the good news is, we had over 30 accounts come back since the program started. So in the last four months we had 30 accounts come back. We put them through refreshers, recertification, gone out and made sure that they were up-to-date on all the new collateral materials, how to process the leads, how to work with our tracking programs and our leading engagement company, so that’s the tremendous number and that’s just the first four months.  Now a lot of these guys I mean, we'll have to sit down and have a coffee someday because there are some funny stories. But the guys you said they probably wouldn't come back until things really changed or until they had a lot of data. But the patient flow, I think a really good sign on the patient flow is that these guys are coming back now and that's important for us. We know we're doing the right thing. And I mentioned earlier on the fire-side chat I had today with Maxim is that, we are also tracking what the umbrella effect is on this. We’ve seen 1,300% increase in patients going directly to our website and going to the surgeon locator. So even if they are not coming through our system, we're still tracking them and we're seeing the doctors come back and do that. The other thing that’s really key, is because of the traction we're getting, in February we went to an ASMBS leadership meeting and for the first time in over a decade, they included us to present to their new fellows that are graduating, because they are starting to really believe that this, the Lap-Band should be something that's part of all practices and should be offered. So that's a huge sign, that you know when the society starts to see it and starts to recognize it, it needs to be taught to the new fellows and make sure that they are aware that we provide for them and that they see it as an important addition to patient treatment. So that’s strong across the board. 
Anthony Vendetti: That's great. And then last question and I’ll hop back in the queue. Reshapecare, I know it's reimbursable, which is great. Have you rolled that out to primary care physicians yet? Is – where is that rolled out in terms of the plan?
A - Bart Bandy: Yeah, we started to test that this past quarter with some different primary care or family care and it was a very positive result. So we're working on the final aspects of the new model that we're going to, to roll that out. You know we are focused on the main thing and that’s the Lab-Band and the surgeons. But this is a great opportunity. We think that we can do it in a very non-dilutive matter and we think that we can really start to access that market, which as you can imagine is what, 350,000 general practitioners compared to maybe 3,000 bariatric surgeons. So this could really open a huge opportunity for us. You know with the pandemic, a year ago the Harris Poll results came out that the average weight gain for an American adult was 29 pounds. That's a lot of people getting into the, ‘I want some help zone’ and maybe they are not a bariatric patient yet, but some people needs something like this. So as the physician led weight loss solutions company is right down our alley and it actually helps to get more out of something we've already built and developed.
Anthony Vendetti: Right, and obesity is one of the comorbidities that can have a negative outcome for people that have – get COVID, right, obesity is one of the comorbidities, one of the… 
A - Bart Bandy: Yeah, exactly! It magnifies the risk profile of COVID. You know 78% of all patients who are hospitalized or die from COVID were overweight or obese. So besides hypertension, diabetes and types of cancer, now the risk of COVID. People need to watch their weight and when they start getting pre-diabetic and they start getting 30, 50 pounds overweight, that's a huge concern and you know diabetes is no fun and it's dangerous and it's costly.  So yeah, I mean there's a lot of people that needs help and I think for us to expand that offering without having to put a lot of investment into additional resources, really is something that's going to benefit our shareholders. 
Anthony Vendetti: Okay, thanks. Bart, I appreciate it. I’ll hop back in the queue.
A - Bart Bandy: Thank you.
Operator: Thank you. Our next question comes from the line of Ben Haynor with Alliance Global Partners. Your line is open. 
Ben Haynor: Good afternoon, gentlemen! Thanks for taking the question. You know first-off, I really appreciate all the metrics that you've been able to share on the marketing campaign. I think that’s really helpful. But I was just curious on the visibility that you've had historically in terms of, well particularly in the case of warm transfers. You know what proportion of U.S. sales kind of historically have come through leads that you guys generated initially. I mean is that something that you have some data on? 
Bart Bandy: Yeah, none. Before the direct-to-consumer marketing, we only did a couple of test market in the U.S., because we didn’t want to spend a lot of money till we know what we are going to do. But one thing we can do is go back to our historical data team and we look at the historical numbers when the company started to do direct-to-consumer advertising on a national level back in 2006, 2007, 2008. That's when we had upwards to $70 million increases in year-over-year revenue, so we know that's what works.  The test market shows that we can drive the website traffic, the lead volume and the warm transfers. So we have an idea what the conversion ratios look like, but I think for us to put a number on that right now would not be – I don't think it would be good data until we start to see what normalized markets look like, but it’s very positive. I know we’re going to – even if its low numbers, we know that we are going to have tremendous procedural volume increases. But we've been going through this pandemic. We just rolled out the program in October and November to tell you what the bottom line number is going to be from warm transfer to consultation to procedures. We're going to need a couple of quarters of normalized data to really start to talk about it. 
Ben Haynor: Okay. And then just thinking about the impressions that patients are seeing over time. You are what, four or five months into this now. Are you seeing upticks in the number of enquires, the number of surgeon locator searches, that type of stuff as it would be patients to get more and more impressions of the adverting campaign, marketing campaign. 
Bart Bandy: Oh absolutely! I mean we took our baseline from July after we got funded and after we got listed on NASDAQ. We created a baseline from July through September and then started to compare the data of the study – I’m sorry, the campaign for advertising. And yes, 250,000 people to our website, a 480% increase in requests for information or 400% increase in warm transfers to doctors, I mean all of these are tremendous. And then what we're tracking on the offset from that umbrella effect I talked about is 1,300% increase in visits to our surgeon locator page.  So people that are going outside of the lead tracking process are going straight to the surgeon locator page on our website. So it’s very, very positive and that's why the doctors are starting to speak with us about coming back or participating with it, that's why we're starting to get picked up by more channels and more magazines, because they see that the liability and the ethical way that we're doing it, that is going to have an opportunity to help a lot of people. 
Ben Haynor: Okay, that makes a lot of sense. And then just for clearly sake, you're comparing versus July to September. The metrics that you're given are those just for Q4 or do those include up until yesterday or last week or whatever. What time period are we looking at for the comparison? 
Tom Stankovich: Yeah, those metrics were through February. So we launched mid-October with the soft launches, just a couple of magazines. In November we got most of our affiliate approvals for television and we were semi dark in December because of the holidays. So that’s the time period that we are comparing it to, from the soft launch in October to the end of February and through the dark period for the holidays. 
Ben Haynor: Got it. And then lastly from me, just on ReShape Care, you know what do you anticipate the contribution to revenue looking like this year? I mean is it meaningful on its own or does it fall into kind of more of a supporting role in helping to drive Lap-Band procedures. 
Bart Bandy: I think it’s a good support, the resource for us with the Lap-Band and remember we're agnostic with ReShape Care. So it doesn’t matter what procedure you have, even if you had it 10 years ago, if your doctor enrolls you, we’ll support it.  But I think that it'll start to generate more revenue towards the end of year. Practices come back, they start getting patients enrolled. They don't really want everybody in their office right, patients not only want to go into the doctor's office, so I think we'll see more and more. And then as we start looking at this opportunity with kind of the medical physician practice level, that general practitioner, I think that can create a big opportunity for us. We’ve done some studies and some metrics and worked with a couple of key partners to understand what the viability of that looks like, and I think that by the end of this year that ReShape Care are definitely showing up on our revenue line and start to carry some weight.  But you know right now the two things doctors told us was, I want to do Lap-Band but patients don't ask for it. Send them to me, I'll do them. We are doing that. Second thing they said was, help me manage those patients afterwards so that I'm actually able to get to the OR and do more patients. I want to do surgery, but I want the patient to do well. So we have to have help on that too.  We can't encumber their practices with a deluge of patient volume. There has to be – it has to be something that we do, so we're doing that. We're driving to consumers and we're providing a program that helps them with that after care and then takes away some of that encumbrance. I think it's a wonderful thing that we’ve done during the last couple of years, that through the pandemic to develop that strategy and now able to execute upon it. 
Ben Haynor: Excellent! Well, that’s all I had gentlemen. Congrats on the progress and the marketing campaign and that’s it from me. Thank you. 
Bart Bandy: Super! Thanks Ben!
Operator: Thank you. I am showing no further questions in the queue. I would now like to turn the call back over to Bart Bandy for closing remarks. 
Bart Bandy:  Thank you. I hope you can see that the steps we took in 2021 and over the most recent months have positioned ReShape for substantial growth going forward. We are very excited about what the future holds for ReShape and believe we're at the precipice of reaping significant benefits from our robust, multi-tiered, direct-to-consumer marketing campaign, creating and expanding awareness for a next generation Lap-Band program and suite of weight loss solutions for the millions of patients seeking to improve quality of life.  Thank you to our employees, board members, customers, vendors, existing and new shareholders for your continued support of ReShape as we progress on our mission to become the premier physician led weight loss company. We look forward to providing future updates too. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.